Operator: Welcome, ladies and gentlemen, and thank you for your patience. You've joined Xunlei's 2022 Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. I would now like to turn the call over to the host, Investor Relations Manager, Ms. Luhan Tang.
Luhan Tang: Thank you, and good morning, everyone, and thank you for joining Xunlei's 2022 second quarter earnings conference call. On the call with me today are Eric Zhou, Chief Financial Officer; and [Lee Hu], Senior Vice President of Finance. Now you can find our earnings press release on our IR website which is intended to supplement our prepared remarks during today's call. For today's agenda, I will first read our prepared opening remarks by our Chairman and CEO, Mr. Jinbo Li, on highlights of our second quarter operations. Then Mr. Eric Zhou, our CFO, will go through the details of financial results and wrap up with our revenue guidance for the third quarter of 2022. We'd like to welcome any questions from you after the management's remarks. Today's call is recorded, and you can replay the call from our Investor Relations website. Before we get started, I would like to take this opportunity to remind you that the discussion today will contain certain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Such statements are based on management's current expectations on our current market conditions that are subject to risks and uncertainties that are difficult to predict, which may cause actual results to differ materially from those made in the forward-looking statements. Please refer to our SEC filings for a more detailed description of the risk factors that may affect our results. Xunlei assume no obligations to update any forward-looking statements, except as required under applicable law. On this call, we will be using both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to comparable GAAP measures can be found in earnings press release. Please note that all numbers are in U.S. dollars unless otherwise stated. Now the following is the prepared statement by Mr. Jinbo Li, Chairman and CEO of Xunlei Limited.
Jinbo Li: Good morning, everyone, and thanks for joining us today. I'm very pleased to report that we achieved good quarterly results as most of our business lines delivered expected performance in the second quarter of 2022. Before I get into the results of the quarter, I'd like to step back and share with you the highlights of our business in the second quarter. Our subscription business did a great job that our premium subscribers reached a record level of 35% of total subscribers, and our live streaming services realized top line growth for five consecutive quarters. Those exciting results are attributable to our efforts to cater to users' need as well as effective marketing campaign that led to increased demand for our products and services. Also, I'm very proud that our cloud computing subsidiary received several industry awards in the last quarter for innovation and a contribution to the industry. We achieved this inspiring result in spite of challenging macro environment dealing with COVID-19, a slowing down economy, evolving government regulations, et cetera. In the second quarter of 2022, our total revenues reached $78.3 million and this is the seventh quarter in which we reached consecutive quarterly business growth. But due to the impact of devaluation of RMB against U.S. dollar, in the second quarter, our total revenue reported in U.S. dollar exhibited a slight decrease of about 1% after currency conversion. Despite so, I'm pleased that our, net profit grew to $6 million, a 10.1% increase from the previous quarter, and it was the second consecutive profitable quarter. And I'm encouraged that our efforts to optimize our operations begin to pay off and enhance our ability to pursue high-growth opportunities. As I mentioned earlier, our cloud computing business maintained its competitiveness in the market. Among other recognition, [Shangshi Longchuang] was nominated as the top 20 edge computing company in May and received 2021 to 2022 Leading Brand Award and the Cloud Connect China Cloud Computing Conference in June. With these inspiring accomplishments, we are more determined to deliver reliable, scalable and cost-effective services to our clients and become the service provider of choice for our customers. In the second quarter, the bandwidth sold was relatively stable versus the first quarter, but cloud computing revenue was down 6.2%, primarily as the sudden change in foreign exchange rates negatively affected our cloud computing revenue when translated into U.S. dollars. That said, we're proactively researching and developing diversified applications for edge computing to cope with intense industry competition and continuous pricing pressure on the CDN business. I'm also encouraged to witness the progress on our subscription business, which realized $25.4 million in revenue, an increase of 0.2% from the previous quarter. Even though our total number of subscribers declined to 4.46 million in the second quarter of 2022 from 4.61 million from the previous quarter, the average revenue per subscriber grew to RMB37.8 in the second quarter from RMB34.9 versus the first quarter. The increase in average revenue per subscriber was due to more members opted for our premium services. By building an engaging member community, we believe that users' loyalty will improve as more user-friendly features are added and upgraded to our services in the future. In the second quarter, our live streaming and other Internet value-added services continued their growth momentum, which generated $24.5 million in revenue, an increase of 4.5% from last quarter. Since launching our new live audio streaming product in 2021, we've seen our live streaming products and services grew 191.3% in revenues in the second quarter of 2022 as compared to that of second quarter of 2021. A large portion of the growth came from our overseas markets. We're expanding the presence of our products and services in more regions and different brand recognition in the existing markets. And we expect that the live streaming business will continue to grow. On the other hand, however, our Internet advertising delivered less than desired results and negatively affected our overall performance. Last quarter, our digital collectible service platform collaborated with art institutions, museums and other IP owners and produced a number of digital collectibles which were uniquely identified using the blockchain technology of ThunderChain. Although its contribution to the total revenue has been very small so far, it is a new endeavor by our blockchain team. In the future, our digital collectible service platform will continue to expand collectible categories and create a diverse portfolio of digital collectibles. We believe this product is of both great potential and significant risks. Meanwhile, we'll continue to strictly comply with relevant laws and regulations. In conclusion, I'm grateful for our employees' dedication and contribution to our business development. Looking forward, we will continue to be focused on our strategy of leveraging our core competitive edge and innovative capabilities to cultivate new sources of revenue to diversify and accelerate our top line growth. Over, we'll also continue to optimize our operations to enhance profitability. In conclusion, I'd like to say that we're optimistic that the positive momentum we enjoyed in the first half of this year will continue into the second half of 2022. With that, I'm now turning the call over to Mr. Eric Zhou, our Chief Financial Officer. Eric will cover our financial results in detail and share our outlook. Thank you.
Eric Zhou: Thank you, Luhan. Hello, everyone, and thank you again for joining Xunlei's 2022 second quarter earnings conference call. I will now go through the details of our financial results and wrap up with our revenue guidance for the third quarter of 2022. Total revenues were $78.3 million, representing a decrease of 1% from the previous quarter. The decrease in total revenues was mainly attributable to devaluation of RMB against U.S. dollars, partially offset by increased revenues from our live streaming and other IVAS services. Revenues from cloud computing were $28.3 million representing a decrease of 6.2% from the previous quarter. The decrease of cloud computing revenues was mainly due to devaluation of exchange rates of RMB against the U.S. dollar as our cloud computing revenues were denominated in RMB. During the second quarter, the bandwidth sold was practically stable and we are mindful of enhanced industry competition. Revenues from subscriptions were $25.4 million, representing an increase of 0.2% from the previous quarter. The number of subscribers was 4.46 million as of June 30, 2022 compared with 4.61 million as of March 31, 2022. Historically, the number of membership fluctuated from period to period and sometimes significantly. The average revenue per subscriber for the second quarter was RMB37.8 compared with RMB34.9 for the previous quarter. The higher average revenue per subscriber was due to a larger percentage of users opting for our premium service option. Revenues from live streaming and other IVAS were $24.5 million, representing an increase of 4.5% from the previous quarter. The increase of live streaming and other IVAS revenues was mainly due to the increased demand for our new live audio streaming products, which we launched in 2021. Gross profit for the second quarter was $33.7 million, representing a decrease of 3.2% from the previous quarter. Gross profit margin was 43.1% in the second quarter compared with 44.1% in the previous quarter. The decrease in gross profit and gross profit margin was mainly due to the increase in payment handling fees and other operating-related costs, driven by the increases of our live streaming and other IVAS revenue and subscription revenue, which were partially offset by improved gross margin of our live audio streaming products. Research and development expenses for the second quarter were $16 million, representing 20.4% of our total revenues compared with $16.3 million or 20.6% of our total revenues in the previous quarter. Sales and marketing expenses for the second quarter were $5 million, representing 6.4% of our total revenues compared with $5.3 million or 6.8% of our total revenues in the previous quarter. General and administrative expenses for the second quarter were $12 million, representing 15.4% of our total revenues compared with $9.6 million or 12.2% of our total revenues in the previous quarter. The increase was primarily due to the vesting of restricted share units granted to our senior management, which led to the increase in share-based compensation expenses during this quarter. Operating income was $0.7 million compared with $3.9 million in the previous quarter. The decrease in operating income was primarily due to increased stock-based compensation expenses accrued during the second quarter as discussed above. Other income was $7 million compared with other income of $1.2 million in the previous quarter. The increase was primarily due to foreign exchange gains and the reversal of certain payables due more than three years with low probability of payment. Net income was $6 million compared with $5.4 million in the previous quarter. Non-GAAP net income was $9.8 million in the second quarter of 2022 compared with $7.2 million in the previous quarter. The increase in net income and non-GAAP net income was primarily due to the increased other income as discussed above. Diluted earnings per ADS in the second quarter of 2022 was approximately $0.09 as compared to $0.08 in the first quarter of 2022. As of June 30, 2022, the Company had cash, cash equivalents and short-term investments of $259.9 million compared with $269.9 million as of March 31, 2022. The decrease in cash and cash equivalents was mainly due to distribution of 2021 annual employee bonuses in the second quarter of 2022. Regarding the ongoing stock repurchase program, in March 2022, Xunlei announced that its Board of Directors authorized the repurchase of up to $20 million of its outstanding stock over the next 12 months. As of June 30, 2022, the aggregate value of purchased shares were approximately $1.74 million. Regarding Xunlei research and headquarters building under construction, we have been furnishing the building for the last seven months, and now we expect to relocate to the new building in October this year. Turning to guidance for the third quarter of 2022. Xunlei estimate total revenues to be between $82 million and $87 million, and at the midpoint of the range represents a quarter-over-quarter increase of approximately 7.9%. These estimates represent management's preliminary view as of the date of the press release, which is subject to change and any change could be material. Now, we conclude the prepared remarks for the conference call. Operator, we are ready to take questions.
Operator: [Operator Instructions] And your first question comes from [Lee Sang from MSL Group]. Please ask your question.
Unidentified Analyst: This is Lee and thank you for sharing your financial highlights of the second quarter performance. [Foreign Language]
Eric Zhou: Thanks for asking. And he asks, since Xunlei on the watch list of SEC under the Company's Accountable Act for, HFCAA. And if the acceleration bill is impacted, Xunlei will be delisted from NASDAQ as early as next year. He'd like to know if the Company has any countermeasures and where the Company consider privatization. It's a good question. Xunlei is aware that the Company has been identified by the SEC under the HFCAA in May this year. We believe such identification may be the result of its filing of its annual report on Form 20-F for the fiscal year ended December 31, 2021. Under the HFCAA, a company will be delisted from the U.S. Stock Exchange, if the Company has been identified by the SEC for three consecutive years as a result of PCAOB's inability to inspect the working paper of the Company's auditor. If this accelerated version of HFCAA is impacted, the delisting could be happening in 2023. We are monitoring the talks between China and the U.S. and will proactively study alternative solutions to remain as a public company. And regarding privatization, so far, the Board of Directors has not discussed this issue. Thanks for asking.
Unidentified Analyst: [Foreign Language]
Eric Zhou: Also thank you for asking the question. Yes, thank you.
Operator: Thank you. We will take our next question. And your next question comes from the line of Sara Hua who is a private investor. Please ask your question.
Unidentified Analyst: [Foreign Language]
Eric Zhou: Her question is that the growth rate cloud computing and live streaming business was slowing down. Will the trend continue? First of all, we don't provide any guidance for our future revenue beyond a quarter. The rapid devaluation of Chinese currency over the last quarter impacted our financial numbers. Cloud computing revenue in Chinese currency decreased by 1.6% compared to the first quarter, while it decreased by 6.2% when converted into U.S. dollars. Revenue growth of our live streaming business in RMB was 10.2%, but it was 5% in U.S. dollars. We estimate the impact of exchange rate is around 5%. Since the cloud computing and live streaming business have been growing rapidly for many quarters, we think it's normal for the growth rate to slow down to certain extent, and we don't expect this to be a long-term situation or a negative sign. At this time, again, we can't guarantee anything due to the evolving macro factors like the impact of COVID-19, the development of national economy or the impact of geopolitics, et cetera. But we will be focused on our strategy of leveraging our competitive edge and commercial capability to improve our top line growth and profitability. Thank you.
Luhan Tang: [Foreign Language]
Operator: We will take our next question. Please standby. Your next question comes from the line of Yuxi Sang who is a retail Investor. Please ask your question.
Unidentified Analyst: [Foreign Language]
Eric Zhou: His question, he said that since the digital results, the collectibles and the product has been off the shelf or they stopped doing so. He wants to know what's our outlook of Xunlei's the digital collectible business. First, we don't really comment on other companies' products or the outlook. For us, the digital collectible market, the business is one of our many endeavors of Xunlei is trying to exploring. And as I mentioned earlier, the market or the business is evolving quickly both in terms of technology and regulatory environment. And for the time being, we are working with several institutions in China, and we are developing -- we are continuing developing different products. And we think for the foreseeable future, it has greater potential. Of course, it's also great risks, having said it's just one of our many explorations to seek the some business, which may have great potential in the future. But of course, we realize it has also great risks and at largest emphasize we are doing strictly according to the relevant laws and regulations. Thanks for asking.
Unidentified company representative: [Foreign Language]
Unidentified Analyst: [Foreign Language]
Eric Zhou: We have a variety of live streaming products. And right now, we still have it, but it's not a large effort by us. And as we discussed in our press release, large efforts by us -- and as we discussed in our press release, one of our focuses is to develop audio -- live audio streaming product. And so far, live audio streaming has been doing quite well for the last several quarters. That will be our future focus. Thank you for asking.
Luhan Tang: [Foreign Language]
Operator: [Operator Instructions] There seems to be no further questions from the audio at this time. Please continue.
Eric Zhou: Thank you, again, for your time and participation. If you have any questions, please visit our website at ir.xunlei.com or send e-mails to our Investors Relations. Have a great day. Operator, we conclude today's conference call. Thank you
Operator: This concludes today's conference call. Thank you all. Thank you for participating. You may disconnect.